Operator: Good afternoon, ladies and gentlemen. Thank you for waiting and welcome to WEC Energy Group's Conference Call to review the 2015 Second Quarter Results. This call is being recorded for rebroadcast and all participants are in a listen-only mode at this time. Before the conference call begins, I will read the forward-looking language. All statements in this presentation, other than historical facts, are forward-looking statements that involve risks and uncertainties which are subject to change at any time. Such statements are based on management's expectations at the time they are made. In addition to the assumptions and other factors referred to in connection with the statement, factors described in WEC Energy Group's and Integrys Holding's latest Form 10-Ks and subsequent reports filed with the Securities and Exchange Commission by each company could cause actual results to differ materially from those contemplated. During the discussions, referenced earnings per share will be based on diluted earnings per share unless otherwise noted. After the presentation, the conference will be open to analysts for questions and answers. In conjunction with this call, WEC has posted on its website a package of detailed financial information at wecenergygroup.com. A replay of our remarks will be available approximately two hours after the conclusion of this call. And now it's my pleasure to introduce Mr. Gale Klappa, Chairman of the Board and Chief Executive Officer of WEC Energy Group.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Colleen, thank you. Good afternoon, everyone, and thank you for joining us, as we review our second quarter results. As I'm sure you know, on June 29 we acquired Integrys in a $9 billion transaction to form WEC Energy Group. We now serve 4.4 million electric customers and natural gas customers across four Midwestern states. I'll provide you with much more detail on the new company shortly, but first, as always, I'd like to introduce the members of our management team who are here with me today. We have Allen Leverett, President of WEC Energy Group; Pat Keyes, our Chief Financial Officer; Susan Martin, General Counsel; Steve Dickson, Controller; and Scott Lauber, our Treasurer. I'd also like to welcome Beth Straka, our Senior Vice President of Corporate Communications and Investor Relations. Now, many of you know Beth from her work over the past decade or so as one of the more perceptive analysts covering our industry. I want to tell you we've forgiven her for that, and we're delighted that she's with us. Turning now to the second quarter, Pat will review our financial results in detail a bit later on the call, but as you saw from our news release this morning, we reported adjusted earnings of $0.59 a share for the second quarter of this year. That compares with adjusted earnings of $0.59 a share for the second quarter of 2014. I should point out that the numbers we're reporting to you today reflect Wisconsin Energy only. Since the acquisition closed on June 29, Integrys earnings were immaterial. Taking a very quick look now at the state of the economy, Wisconsin's unemployment rate stood at 4.6% in June, well below the national average. Deliveries of electricity to our large commercial and industrial customers, however, excluding the iron ore mines, fell by 1.4% in the second quarter. But several sectors showed strength including plastics, printing, and food processing. Also, our small commercial and industrial segment is growing, with electricity use rising by 2.3% over the second quarter of a year ago. In addition, we continue to see an uptick in customer growth across our system. New electric service connections are up 8.2% and new natural gas installations are up 4% compared to the same time period last year. Now I'd like to spend the next few minutes discussing our plans for the future of the new WEC Energy Group. When we first considered the opportunity to acquire Integrys, we weighed it against our three important criteria for evaluating any potential acquisition. After considerable due diligence we found that it met or exceeded all three criteria. First, it would be accretive to earnings per share in the first full calendar year after closing. Second, it would be largely credit-neutral. And third, the long-term growth rate would be equal to or greater than Wisconsin Energy's standalone growth rate. We also saw tremendous opportunity in the framework of the new company. WEC Energy Group has the scale, scope, technical depth, geographic reach, and financial resources to thrive in our consolidating industry. We plan to leverage those strengths to deliver operational and financial benefits to all of our stakeholders, from the customers and communities we serve, to the people we employ, to the shareholders who count on us to create value. And with our proven leadership team, we will incorporate best practices across the organization to streamline our operations and reduce costs. So what does our new footprint look like? Well, as I mentioned the new company provides electricity and natural gas to 4.4 million customers across four states through our customer-facing brands: We Energies, Wisconsin Public Service, Peoples Gas, North Shore Gas, Michigan Gas Utilities, and Minnesota Energy Resources. Our company operates in a balanced regulatory environment with greater jurisdictional diversity than before the acquisition. And of course, more than 99% of our earnings will come from regulated operations. WEC Energy Group is now the eighth largest natural gas distribution company in the country and one of the 15 largest investor-owned utility systems in the United States, with significant opportunities for growth. Of course, the majority of the earning assets we acquired are here in Wisconsin, a familiar landscape for us, and major infrastructure upgrades are underway now at Wisconsin Public Service in the northern part of the state. These investment opportunities are similar to those we have pursued over the years, on time and on budget, at We Energies. We are also in excellent position to take advantage of new customer growth across the region, especially in Wisconsin, Michigan, and Minnesota, where propane and oil users are continuing to convert to natural gas. In addition, as many of you know, Integrys and Wisconsin Energy were the two largest owners of American Transmission Company. Today WEC Energy Group has become a 60% owner of ATC. As you will recall, ATC plans to invest between $3.3 billion and $3.9 billion between 2014 and 2023 to bolster electric reliability in our service area. We believe this is a solid plan, and we welcome the opportunity to increase our commitment to the transmission business. Now I would like to briefly discuss some of the conditions we agreed to as we worked our way through the regulatory approvals for the acquisition. In Wisconsin, we committed to an earnings cap for our Wisconsin Electric and Wisconsin Gas subsidiaries. Starting in 2016, next year, we will share with our customers any earnings in excess of our allowed rate of return. The first 50 basis points of earnings above our authorized return will be split equally between the company and our customers. Then any earnings above that level will go exclusively to customers. This sharing mechanism will be in effect through 2018. We also agreed to develop an integrated resource plan detailing the joint capacity needs of Wisconsin Electric and Wisconsin Public Service. We expect to file the resource plan with the Wisconsin Commission later this quarter. In Michigan, as we've discussed on previous calls, we expect to pursue the formation of a Michigan-only utility. Our customers in the Upper Peninsula of Michigan would be served by this entity. And we expressed a willingness, if requested, to invest in a new generating plant in the Upper Peninsula and/or purchase power from a new facility. This would allow for the eventual retirement of the Presque Isle Power Plant. In Illinois, we agreed to retain a minimum level of jobs in the State of Illinois for the next two years. We also committed to a two-year base rate freeze and a capital spending floor from 2015 through 2017. In a recent development this past Friday, the Citizens Utility Board, the City of Chicago and the State Attorney General's Office asked the Illinois Commerce Commission to rehear our merger order. These parties are seeking additional conditions, conditions that they previously requested during the year-long approval process. The Illinois Commission now has until August 13 to accept or deny the request. We believe the Commission's June 24 decision was correct and is supported by sound principles and by an extensive body of evidence. Now let's touch on some of the key financial metrics for the new company. For starters, as you may recall we issued $1.5 billion of parent company debt to help finance the transaction. The all-in interest cost for the debt is approximately 2.2% annually, an excellent result and clearly lower than we anticipated. So for 2016 we now project our growth in earnings per share to be in the range of 6% to 8%. The 6% to 8% growth for next year assumes that Wisconsin Energy standalone achieves earnings of $2.72 a share this year, which is the midpoint of our current 2015 guidance. So, just to clarify, we start with a base of $2.72 a share for our standalone earnings this year, and we expect the combined company to grow earnings per share in the 6% to 8% range next year. For the longer term, after 2016 we see earnings per share growth of 5% to 7% annually, driven by operating efficiency, financial discipline, and infrastructure investments that the region needs for reliability and for improved environmental performance. We look forward to providing you with additional details on our capital investment plans at the EEI Finance Conference coming up in November. Regarding our dividend policy, in June, the Wisconsin Energy Board of Directors raised the quarterly dividend to $0.4575 a share. That's an increase of 8.3% over the previous quarterly rate. This is equivalent to an annual rate of $1.83 a share. Going forward we will target a payout ratio of 65% to 70% of earnings. And we expect dividend growth to be in line with growth in earnings per share. Switching gears now, I'd like to update you on several of our major construction projects. On the generation side of our business, as you may recall, we're working to add fuel flexibility at our Oak Creek expansion units as part of our ongoing Power the Future initiative. These units were initially permitted to burn bituminous coal; however, given the current cost differential between bituminous coal and Powder River Basin coal, blending the two types of fuel could save our customers between $25 million and $50 million a year depending upon the blend. During extensive testing, we identified operational and equipment-related improvements that will be needed to sustain the higher blends of PRB coal on a long-term basis. In May, the Wisconsin Commission approved our requests for additional capital spending for plant modifications, expansion of all of our coal storage capacity, and additional coal handling equipment. We've already started work to expand our coal storage capability, and the first in-plant capital improvements are expected to be made on the first unit at Oak Creek, the Oak Creek expansion, during a planned outage this September. We plan to upgrade the second unit during the first quarter of 2016. Our share of these investments is targeted at approximately $80 million. Next, the conversion of our Valley Power Plant from coal to natural gas. That conversion is now more than 80% complete. Total conversion costs are expected to be in the $60 million to $65 million range, excluding allowance for funds used during construction. We expect to complete the project on time and on budget before the end of this year. Our Western Wisconsin natural gas expansion project, which will address natural gas reliability concerns in the western part of the state, is now more than 75% complete and is running on time and better than budget. We expect to complete this new 85-mile natural gas pipeline in the fourth quarter of this year at a cost actually well below the $175 million budget, a budget that again excludes allowance for funds used during construction. Looking forward, we continue to see significant investment opportunities in Wisconsin Energy's traditional business as we upgrade our aging distribution networks and focus on Delivering the Future. Just to remind you, Wisconsin Energy's standalone capital budget calls for spending $3.3 billion to $3.5 billion over the five-year period 2015 through 2019, and our 10-year standalone capital budget calls for investing between $6.6 billion and $7.2 billion over the period 2015 through 2024. Now before I turn the call over to Pat, I would also like to discuss our plans for the accelerated main replacement program at Peoples Gas in Chicago. Just to refresh your memory, this is one of the largest infrastructure modernization programs in the country. The program calls for the replacement of approximately 2,000 miles of Chicago's aging gas pipeline system over the next 20 years. Some of these pipes, ladies and gentlemen, literally date back to the time of the Civil War. One of our immediate and most important goals is to improve the management and performance of this project. Our first step was to appoint a new senior management team at Peoples: a new President, a new Vice President for construction, a new operations Vice President, and a new Vice President for customer service. All of them are proven, experienced leaders from the Wisconsin Energy system. Over the past three weeks, our team has conducted a thorough evaluation of the accelerated main replacement program. They have determined that the best approach is a fresh start. We have begun transitioning the management of the project to in-house personnel; previously the project was managed by an outside contractor. Going forward, we also plan to engage a nationally recognized firm to help conduct an independent, bottom-up review of the cost, scope, and schedule for the program. This past Monday we notified the Illinois Commerce Commission of our decisions, and we will incorporate these decisions into a broader transition plan. This broader transition plan will address the recommendations made by Liberty Consulting Group in their audit of the program. The Liberty audit was completed earlier this year at the request of the Illinois Commerce Commission. I am confident that the steps we are taking will ensure that Chicagoans get the safe, modern natural gas delivery system that they deserve. In conclusion, these are exciting times, filled with opportunity for our new combined company and we believe we have a very bright future ahead. We will build an enduring enterprise by focusing on the fundamentals: world-class reliability, operating efficiency, financial discipline, and exceptional customer care. And now for more details on our second quarter performance and our outlook for the remainder of 2015, here's our Chief Financial Officer, Pat Keyes. Pat.
J. Patrick Keyes - Chief Financial Officer, Director & Executive VP, WEC Energy Group, Inc.: Thank you, Gale. As Gale mentioned, our 2015 second quarter adjusted earnings were $0.59 a share. That's the same as our adjusted earnings for the corresponding quarter in 2014. Costs related to the acquisition of Integrys Energy reduced earnings by $0.24 per share in the second quarter of 2015 and $0.01 per share in the second quarter of 2014. Because of the timing of the acquisition, earnings results this quarter are exclusively from Wisconsin Energy. Going forward, our consolidated earnings will include the operating results of the Integrys companies. Please note that the balance sheet included in this quarter's earnings package does incorporate the Integrys balance sheet. Consistent with past practice, I will discuss operating income for Wisconsin Energy's two business segments, and then discuss other income, interest expense, and income taxes. Excluding acquisition related costs, second quarter consolidated operating income was $232.5 million, as compared with $245.8 million in 2014. That's a decline of $13.3 million. Starting with the utility energy segment, operating income in the second quarter totaled $140.4 million for 2015, a decline of $14.8 million from the second quarter of 2014. On a quarter-over-quarter basis, our earnings were helped by $9.5 million because of the impacts of the 2015 rate case and by $3.4 million related to improved fuel recoveries. On the downside, we saw an increase in utility operations and maintenance costs of $18.5 million, primarily driven by increased regulatory amortizations, the timing of projects, and certain benefit costs. We estimate that weather reduced our margins by $4.8 million and we also saw increased depreciation expense of $4.2 million. Combining these and other factors results in the $14.8 million decline in utility operating income in the second quarter of 2015, compared with the same quarter in the prior year. Operating income in our non-utility energy segment was $93.5 million, which is $1.8 million higher than the prior year. Our corporate and other segment, which includes corporate costs of smaller affiliates, was essentially flat with last year's second quarter. Taking the changes for these segments together, you arrive at the second-quarter operating income before acquisition-related costs of $232.5 million, a $13.3 million decline as compared to the second quarter of 2014. In addition, for the second quarter of 2015 we recognized $66.7 million of acquisition-related costs associated with benefit plan agreements, legal and banking fees, and other costs. Overall these costs were in line with our expectations. During the second quarter of 2015, earnings from our investment in American Transmission Company totaled $14.3 million, a decline of $3.2 million from the same period in the prior year. As we mentioned in the first quarter, ATC has established reserves in light of recent appeals to the FERC related to authorized returns for regional transmission organizations. Our earnings reflect Wisconsin Energy's share of ATC's results. Our other income net increased by $18 million. During the second quarter of 2015, we recognized an incremental gain of $15.2 million on the sale of the legacy asset. The purchase and sale of assets is a regular part of our business. In fact, we have a real estate development subsidiary, and this quarter's sale was part of our financial plan for the year. Our net interest expense increased by $3.1 million, primarily because of higher debt levels. Consolidated income tax expense fell by $11.1 million for the quarter. Going forward, WEC Energy Group's annual effective income tax rate, driven by a one-time adjustment related to the acquisition of Integrys, is expected to be between 38% and 39% in 2015. We expect that Wisconsin Energy's standalone effective tax rate for 2015 will be between 37% 38%. Combining all of these items brings you to the adjusted net income of $0.59 per share for the second quarter of 2015. During the first six months of 2015, our operating cash flows totaled $715.9 million, which is a $5.4 million decrease from the first six months of 2014. During 2015, we contributed $100 million to our pension plans; no such contributions were made during 2014. Operating cash flows were helped by improved working capital. For example, lower natural gas prices dropped accounts receivable balances and reduced the cost of gas and storage. Our capital expenditures totaled $356.5 million in the first six months of 2015, a $51 million increase compared to 2014. The increase was primarily driven by the increased expenditures related to the western gas lateral. Our adjusted debt to capital ratio as of June 30th, 2015 was 50.7%. This ratio reflects the Integrys acquisition, treating half of WEC Energy Group's hybrid securities as common equity, which is consistent with past presentations. We continue to use cash to satisfy any shares required for our 401(k) plan, options, and other programs. Going forward, we do not expect to issue any additional shares. We paid $190.5 million in common dividends in the first six months of 2015. That's an increase of $14.5 million over the same period last year. Weather normalized retail deliveries of electricity fell by 1.3% in the second quarter of 2015 as compared to the second quarter of 2014. Actual second quarter deliveries fell by 1.6%. Looking now at the individual customer segments, we saw weather-normalized residential deliveries drop by 3.8%. Actual residential deliveries fell 5%. Across our small commercial industrial group, weather-normal quarterly deliveries rose by 2.4%. Actual deliveries rose by 2.3%. In the large commercial industrial segment, deliveries for the second quarter of 2015 fell by 2.5%. Excluding the iron ore mines, large commercial and industrial deliveries fell by 1.4%. Our year-to-date weather-normalized retail gas deliveries, excluding the gas used for power generation, were flat compared to the same period in 2014. Our actual gas deliveries, again excluding the gas used for power generation, were down 7.2% compared to the polar vortex driven gas sales last year. Our overall results for gas and electric sales in the first six months of 2015 are slightly behind our expectations for the year. Turning now to our earnings forecasts, for the remainder of 2015 we will continue to guide based on standalone Wisconsin Energy earnings. As Gale mentioned, our long-term earnings per share growth rate is based upon these standalone earnings. We will therefore make the following adjustments to the WEC Energy Group GAAP earnings. Number one, remove the impact of Integrys; number two, remove the impact of acquisition debt. As Gale noted previously, we funded the 1.5 billion cash portion of the acquisition with $1.2 billion of long-term debt and $300 million of commercial paper. This long-term debt included 3, 5, and 10-year tranches. Overall, our debt has an approximate interest cost of 2.2% annually. Number three, remove the impact of acquisition and other one-time costs such as banking and legal fees. Number four, modify effective tax rates to remove the impact of the one-time adjustment I just referred to earlier. And finally, number five, remove the impact of the additional shares issued as part of the acquisition. With that, we'll move to our 2015 guidance. We are reaffirming our 2015 standalone adjusted guidance of $2.67 a share to $2.77 a share. We are off to a strong start, but still have six months of weather ahead of us. Again, we are reaffirming our standalone adjusted guidance of $2.67 a share to $2.77 a share. And finally let's take a look at third quarter guidance. Last year's third quarter adjusted earnings were $0.57 a share, which excludes $0.01 a share related to our acquisition of Integrys. Similar to last year, our summer got off to a very slow start this year, with temperatures significantly below normal during the first 10 days of July. So taking this July weather into account, we expect our third quarter 2015 adjusted earnings to be in a range of $0.56 to $0.58 a share. That assumes normal weather for the rest of the quarter and excludes any remaining transition-related costs. Once again, our third quarter 2015 adjusted guidance is $0.56 to $0.58 a share. And with that I will turn things back to Gale.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Pat, thank you very much. Appreciate the detail and the clarity. And overall, folks, we're solidly on track and focused on delivering value for our customers and our stockholders.
Operator: And now we would like to take your questions. Your first question comes from the line of Julien Dumoulin-Smith with UBS. Please go ahead.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Good afternoon, Julien.
Julien Dumoulin-Smith - UBS Securities LLC: Afternoon to you. Congrats on closing the deal finally, not too bad.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: All right, we'll see later this week.
Julien Dumoulin-Smith - UBS Securities LLC: Indeed we will. So perhaps the first question here out of the gate, the 5% to 7% earnings growth rate, when you are thinking about that in the context of this transaction being closed, how are you thinking about the trajectory in 2016 and reflecting some of the improvement, hopefully, in the earned ROEs across the legacy Integrys platform? And perhaps maybe could you remind us or refresh our memory of where the earned ROEs stand today, just for some background if you will.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Sure, I'd be happy to. Let me first start with the initial part of your question. How do we think about the trajectory of earnings going forward here now that we have closed the acquisition? As you may have heard me say on the script, given everything we see today and given the terrific result that we got in terms of the annual interest cost on the parent company debt, we are projecting 2016 to have a growth rate over our standalone 2015 guidance, the midpoint of that guidance. So we are projecting 2016 to grow 6% to 8%. And then post 2016 we still see a 5% to 7% growth rate. There are a couple of important underlying assumptions that we are making and that we really feel very good about delivering related to the growth rate. The first is that we believe we can through best practices, through cost reduction, through financial discipline, and through on-time and on-budget investing in the infrastructure upgrades that are needed, we believe we can move all of the utilities that are the former Integrys utilities at or near the allowed rates of return in Illinois, Michigan, and Minnesota, and of course WPS in Wisconsin. So that's a pretty important underlying assumption. And to your question of, well, where were the allowed rates of return for those utilities? Just a reminder that We Energies and Wisconsin Gas have historically earned at or very close to and in some years slightly above the allowed rates of return. With that, Pat has the specific numbers on where the other Integrys utilities have been from an ROE standpoint. Pat?
J. Patrick Keyes - Chief Financial Officer, Director & Executive VP, WEC Energy Group, Inc.: So, Julien, let's start with the two biggest ones. Wisconsin Public Service last year earned just above 10%; and as a reminder its authorized was 10.2%, so just underneath allowed. The second biggest or the other big one would be Peoples Gas. That last year was about 5%, and that's out of an allowed 9%. Then the other three utilities last year – that would be North Shore, Minnesota, and Michigan, two of the three hit; one was beneath, but the year before, the one that missed hit and another one didn't. So they're more or less maybe slightly underneath on average is probably the simplest way to state that. Does that help?
Julien Dumoulin-Smith - UBS Securities LLC: Absolutely, that's great. And perhaps just getting back to my question a little bit more broadly, as you think about 2016 to 2017, are you earning a full year earned ROE? Just I'm trying to think about some of the continued benefits as you flow that forward, right. So thinking about the 5% to 7% in conjunction with what is likely – I don't want to put words in your mouth too much – but what is likely still an annualizing factor into that higher level, I would imagine.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: I'm not sure I exactly followed you, but perhaps I can answer.
Julien Dumoulin-Smith - UBS Securities LLC: Or are you expecting to earn a full year at or near the ROEs in 2016 already, just to be clear about that, or is there an annualizing factor?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Starting in 2016 we are expecting to earn a full-year annualized rate of return, yes. And let me help with that one piece, because you're probably wondering like, well, how do you go from 5% to 9% at Peoples Gas? That's a very good question, Julien. I'm glad you asked it. Peoples Gas did get a resolution of a rate case in January of this year, and I believe the allowed increase was $71 million. A lot of that, Julien, was for catch-up capital that had already been invested in the infrastructure in Chicago. So the fact that a rate case has been adjudicated and they are seeing the benefit of the $71 million increase is helpful on that front. I hope that's helpful to you.
Julien Dumoulin-Smith - UBS Securities LLC: It is indeed. And sorry to belabor it, just one last one in terms of the integrated resource plan. How are you thinking about that now? Obviously there was some shifts in the gas generation plans earlier. What is the current expectation vis-à-vis load growth as you stand today, as you close the deal? Would you expect a shift back in generation resources meaningfully from what has been discussed through the course of this merger approval?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Let me try the first piece and then we're going to let Allen give you the detail on the integrated resource plan that we'll be filing later this quarter with the Wisconsin Commission. Long story short, there is no change in terms of our long-term demand growth projection. Wisconsin Public Service and our company have pretty similar demand growth projections going forward, roughly 0.05% a year basically in electricity demand growth. Our belief, though, when you look at the portfolio of generation that the two companies have together, our belief is there can be some real synergies there. Allen?
Allen L. Leverett - President & Director, WEC Energy Group, Inc.: Right, and just review for everyone, Julien, who might not know the Fox Energy Center, which is a plant that's owned by Wisconsin Public Service, before agreeing to the merger with Wisconsin Energy they had planned to build a facility called Fox 3, which was going to be a natural gas fired combined-cycle unit. And then as Gale mentioned in the script, essentially what the Commission said is: Well, all right, look at the resources at both of your Wisconsin utilities and tell us overall whether that unit is still needed. So, Julien, what we've been able to do to date, we've looked just simply at what I guess I would call the capacity demand balance between the two utilities. If we look solely at the capacity demand balance, my expectation would be that you can easily defer Fox unit 3 for a number of years. The analysis that we are doing to go in addition to that capacity and demand is a bit of an energy analysis, if you will. If you look at the energy mix of the two utilities, my expectation is that it will confirm the capacity demand balance and that the unit will be deferred. But that's what we're in the process of doing. And then as Gale mentioned in the third quarter we'll do a formal filing to the Wisconsin Commission along those lines.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: And Julien, the Fox 3 was estimated to be about a $600 million capital investment, which again based on our preliminary look we believe can be deferred.
Julien Dumoulin-Smith - UBS Securities LLC: Great. Thank you for all the color.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: You are more than welcome. Good questions Julien.
Julien Dumoulin-Smith - UBS Securities LLC: Appreciate it.
Operator: Your next question comes from the line of Greg Gordon with Evercore ISI. Please go ahead.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: All right, Greg. I want to give you a shot here. Are the Jets going to be above .500?
Greg Gordon - Evercore ISI: Based on the strength of schedule, I'm going to say yes.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: All right.
Greg Gordon - Evercore ISI: Not necessarily based on the talent, on the team, but based on the strength of the schedule.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: And any kind of playoff expectations, Greg?
Greg Gordon - Evercore ISI: Well, there's always hope. Jets are used to having a lot of that.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Well, I hope it's a good season for you. How are you doing, Greg?
Greg Gordon - Evercore ISI: Good. I just want to cut to the chase and just make sure I hear you clearly. Making all the adjustments you guys laid out, you were very articulate. We should expect you to still be inside the guidance range pre-Integrys. And then we should expect on a full run rate, merger-integrated basis for fiscal year 2016 that you will grow 6% to 8% earnings off that number?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: That is correct. You've nailed it.
Greg Gordon - Evercore ISI: Okay, perfect. So you've taken into account everything that's going on including the one-time impact of this legacy asset sale. You think that everything in the stewpot, that's a number you can hit?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: We're certainly expecting to do so. But let me mention this one-time thing you mentioned about the one-time legacy asset sale. We have with the combined company like $29 billion of assets. I think every year, Greg, since I've been here we've had some type of asset sale. And remember we also have a real estate subsidiary that develops and sells property. So it's part of our ongoing, it's just part of what we do. And I would suspect you want us to do this, because it's part of maximizing the value of our assets.
Greg Gordon - Evercore ISI: No, completely understand. I just wanted to be clear on it. My second question is as we think about your cash flow profile, pro forma for the deal, still superior and differentiating factor about your investment thesis relative to almost any other utility, given the robust cash flow nature of the Power the Future assets. How should we think about the cash flow deployment priorities of the company as they are built into that 6% to 8%, going to 5% to 7%, expectation?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: In terms of the cash flow priorities, number 1 through 10 is obviously investing in infrastructure upgrades that are very much needed for customers across the four states. And as I mentioned at the EEI Fall Finance Conference, we'll give you a lot more granular detail particularly about our next three- to five-year capital investment program. But we see tremendous need and tremendous opportunity for the use of that cash flow to upgrade the electric and natural gas infrastructures in the region. So that's priority number 1, 2, 3, 4, 5, 6, 7, and 10 for the cash flow. And then obviously we want to maintain the 65% to 70% target for dividend payouts. And if there's any cash left over, well, we've got three doors we can go through. One is debt reduction. One would be if we can find, legitimately, additional investment opportunities and additional infrastructure projects. And then the third would be where we were before, which is a share buyback. But I would hope that and really am very hopeful that there will be additional investment opportunities that are really needed and that we can put that cash to really good use through infrastructure upgrades.
Greg Gordon - Evercore ISI: Okay, great. Just to be clear, are there any specific commitments vis-à-vis the current rating and the discussions you've had with the rating agencies on how you're going to manage the parent debt balance over the next few years?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Pat? I'll let Pat answer that.
J. Patrick Keyes - Chief Financial Officer, Director & Executive VP, WEC Energy Group, Inc.: What we talked about, Greg, was the reason we tranched the acquisition debt is that our expectation is that as each tranche matures or comes to its end, we will have sufficient cash flow to be able to not renew that tranche. So in other words we plan to take it out. In addition to that I might add that we're also looking at what I'm just going to call balance sheet cleanup or looking at some of the other debt that is sitting out there at the Holding Company and what opportunities we've got to clean some of that up as well.
Greg Gordon - Evercore ISI: Perfect. Thanks, guys.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Great, questions. Thank you, Greg.
Operator: Your next question comes from the line of Jonathan Arnold with Deutsche Bank. Please go ahead.
Jonathan P. Arnold - Deutsche Bank Securities, Inc.: Good afternoon, guys.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: How are you doing, Jonathan?
Jonathan P. Arnold - Deutsche Bank Securities, Inc.: You just reiterated the 65% to 75% dividend payout target, Gale. And you obviously bumped it a little bit more than you were committed to post the merger.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Yes. We thought you would like that, Jonathan.
Jonathan P. Arnold - Deutsche Bank Securities, Inc.: Right. My question is it looks like the payout of the midpoint of the 2016 guidance is going to be 63%. How soon do you want to get in the range? You've typically done December increases. How should we think about that range versus what you've just been discussing around investment priorities?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Well, it's a question we will continue to look at between now and the end of the year. But certainly in the relatively near term, we very much want to be at least in the bottom end of the 65% to 70% range.
Jonathan P. Arnold - Deutsche Bank Securities, Inc.: Okay. Then what would push you I guess broadly as you look at the earnings for the quarter, into (39:27) to the higher end of that long-term growth rate? Do you have a line of sight on what kind of things we should be looking for you to announce?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Very good question. Let me frame the answer; if Pat or Allen would like to add, I would certainly welcome them to do so. Let me frame the answer for you. There is not one single thing that could pop us to the top end of the range on a permanent basis. But if you think about our business and where we're headed, there are several factors, the biggest of which would be increased investment opportunity or increased investment requirement that we build on time and on budget and get cost recovery for. That would be the single biggest thing. In between rate cases, if you have an economic pickup and there's stronger sales growth, there are a number of things that can happen in between rate periods. But the single biggest factor that could drive us to the top end would be additional investment opportunities in infrastructure upgrades. Pat, Allen, anything you would like to add?
J. Patrick Keyes - Chief Financial Officer, Director & Executive VP, WEC Energy Group, Inc.: Well, I got just a couple things I could throw in, Jonathan. I think Gale hit the main one, but other things I would think about would be opportunity sales that would help us on the fuel recovery, to the extent that our fleet is called more by the MISO. And the other would be hitting some, we talked about our ATC 10 year capital plan and the range it could be in. You are also familiar with our joint venture with Duke, the DATC. To the extent that some of those projects hit or we get to the top higher end of that capital plan, that would also help.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: That's a good point, Pat. So it all comes down – well, it doesn't all, but a lot of it comes down to: are there additional investment opportunities as we go forward beyond the plan that we'll be pretty granular about with you at EEI in the fall.
Jonathan P. Arnold - Deutsche Bank Securities, Inc.: Great. If I may, just on one other point, you talked about having filed with the ICC to tell them you're going to have a rethink around the main replacement program. Does that include some proposal for how to resolve the ongoing investigation? Or is that a separate issue? Any perspective on how we bring that to closure?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: It's a very good question. Let me be clear about the ongoing dockets. There's one very helpful ongoing docket. And let me back up and explain that. The commission, before we got involved with the potential acquisition, the commission brought in an outside consulting group by the name of Liberty Consulting to basically do a review of the management, the physical on-the-ground management of the gas main replacement project. Liberty has come back with 95 specific recommendations, most of which are very practical and all of which we agree with. So what the commission has done is they've kept that docket open and they've asked us by September, early September, to file a transition plan that in part lays out how we plan to incorporate those recommendations into our management of the program. So, I think a lot of what you're asking about has a schedule and has a definite plan for resolution. But I view the Liberty Consulting report as very helpful and certainly I know the commission has a good bit of faith in the recommendations. The recommendations are very practical. They are recommendations that we would automatically have put into our transition plan anyway. And so I think that's the way, as we take a step back and re-look the entire project from soup to nuts, from scope to schedule, to logistics, we will be incorporating the Liberty audits along the way and Liberty will also have input along the way. So, again, a schedule and a date has been set for us telling the commission how we plan to incorporate the Liberty recommendations and I think that will go a long way, in addition to the expertise that we're going to bring to this project.
Jonathan P. Arnold - Deutsche Bank Securities, Inc.: Okay, great. Thank you, Gale.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: You're welcome.
Operator: The next question comes from the line of Michael Lapides with Goldman Sachs. Please go ahead.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Hi, Michael.
Michael J. Lapides - Goldman Sachs & Co.: Hey, Gale, congrats on the deal. Congrats on getting everything closed and rolling out new guidance.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Thank you.
Michael J. Lapides - Goldman Sachs & Co.: One question, though. I know you are starting from the base of a $2.72 midpoint for WEC standalone.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Right.
Michael J. Lapides - Goldman Sachs & Co.: I'm just trying to put apples – I'm worried we are comparing apples and oranges here. Because Integrys has a large gas utility presence; that means it generates or delivers a decent amount of its annual earnings in the fourth quarter. And just are you thinking that the second half of this year that Integrys would actually have contributed to our EPS? Or would it have detracted from EPS from the original standalone entity? Because a lot will depend on what your starting point is and the starting point here is a little confusing.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: No, I'm glad you asked the question. Let us answer it very directly. First of all, yes, we're picking up a lot of gas, gas delivery companies. And yes, they generally have a pretty good fourth quarter. They also have a lousy third quarter simply because of lack of gas demand. But let's step back here. A couple factors. First of all, the financial logic for the acquisition was that an acquisition that we would want to make, like the Integrys acquisition, would add to our earnings per share growth in the first full calendar year after closing. So, that's 2016. So, I think the logical starting point is okay; well, what would you have done standalone 2015? What would your growth rate standalone have been 2016? And is this better than that? And the answer is yes, it's better than that. So, I think if it's making any sense to you, Michael, I think we're starting with the correct starting point. But I would like to add one other factor and that is in the second half of this year there will be significant accounting adjustments. A lot of accounting noise around the acquisition, as you even saw in our second quarter adjustments. So really the GAAP numbers for Integrys, the Integrys utilities for the second half of 2015 are really going to be irrelevant to the long-run earnings capability of Integrys utilities going forward. Does that help, Michael?
Michael J. Lapides - Goldman Sachs & Co.: It helps. Let me ask another follow-on question, and I can catch up with your IR team or Pat offline. When you think about how far you are in the process of evaluating things like synergy opportunities or other opportunities to benefit – I mean, merger has only been closed for not quite 30 days, actually right at 30 days.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Right.
Michael J. Lapides - Goldman Sachs & Co.: How early in the process do you think you are? And do you think there is upside to whatever it is you are assuming today in potential long run, multiyear benefits from the merger?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Very good question, Michael. Let me just say this. We are less than 30 days in. Right now we are very much on target in terms of our plan for follow-on integration. Everybody understands where they report. Everyone has budget targets for 2016. And we are in the process of working through every single functional area to determine where we go and what the shape of their organizations look like. So it's a little early to give you much more granular detail, but let me back up. There's nothing that we've seen that would indicate that our earlier thinking and information we've said publicly, there's nothing to indicate that that's off-track. I would expect that over the 10 years there will be a minimum of $1 billion of savings for Wisconsin customers alone in a combination of capital and operating costs. And that to me still stands as a good preliminary early estimate. So we'll keep working on it, but right now I feel very good about where we are. And let me back-up to your earlier question again. Remember the $2.72 that we're talking about as the base for 2015 is Wisconsin Energy standalone. So we're basically taking out either a positive or negative impact of Integrys utilities for the second half of the year, to give you a clean starting point, if you will that was basically the foundation for the logic of the acquisition.
Michael J. Lapides - Goldman Sachs & Co.: Understood. I appreciate the help, guys. I may follow up offline.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Okay, great. Thank you, Michael.
Michael J. Lapides - Goldman Sachs & Co.: Thanks, Gale.
Operator: Your next question comes from the line of Jim von Riesemann with Mizuho Securities. Please go ahead.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Welcome, Jim. How are you?
James von Riesemann - Mizuho Securities USA, Inc.: I'm tired. How are you?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Tired? What, you've been listening to the Southern call too long?
James von Riesemann - Mizuho Securities USA, Inc.: Yep, that's and I'm on an airplane back from Tokyo. Hey, I have a couple questions for you. I'm confused and I'm having a little translation issue. Can you translate how much the operating efficiencies mean on a dollar basis?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: I'm sorry, one more time?
James von Riesemann - Mizuho Securities USA, Inc.: I tried to avoid the S word.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Thank you. Have we translated how much the operating efficiencies mean on a dollar basis?
James von Riesemann - Mizuho Securities USA, Inc.: Yeah. You talk about robust operating efficiencies. What does that mean on a dollar basis?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: That means basically getting to our allowed rates of return and staying there for 2016 and beyond.
James von Riesemann - Mizuho Securities USA, Inc.: Okay. I get it, I get it. Second question, totally different is, with all the noise that's going on in the State of Illinois, can you talk about the legal precedent for changing conditions once a merger has been actually, you have an order and it has been consummated?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Well, generally in all past cases, for the Illinois Commerce Commission to change its order, there generally would need to be new facts or some demonstration of an error in the facts that form the basis for the merger order. In this case, none of us see new facts or errors in fact. As a matter of fact, the Attorney General's Office, CUB and the City of Chicago really didn't indicate in any way, shape, or form that there were any new facts or that there were any facts in error. So again we believe the Commission's decision was very sound, well thought through, and supported by a significant body of evidence.
James von Riesemann - Mizuho Securities USA, Inc.: Okay. And are you guys going to give out any 2015 consolidated guidance?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: No. Nope. I really think it's kind of meaningless, to be honest with you. And the accounting noise around the second half of 2015 with the adjustments, et cetera, I think it would just make your head swim. To me the most important thing is: are we delivering what we said we would from the acquisition, which is growth over and above our 4% to 6% standalone growth. And what was our basis for starting? And that's the 2015 midpoint of $2.72 a share standalone.
James von Riesemann - Mizuho Securities USA, Inc.: Okay. Well, then let me ask you this question.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Okay.
James von Riesemann - Mizuho Securities USA, Inc.: If you raise the number 6% to 8% 2016 versus standalone, what prevents you from going 6% to 8% in say, 2017 and beyond?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Well, what would prevent us from doing that? First of all we'd have to have a plan that we would be comfortable with that would produce a 6% to 8%. And at this point in time, 29 days in, this is what we feel comfortable with and what we believe we can deliver.
James von Riesemann - Mizuho Securities USA, Inc.: Okay. So wait for EEI is what you're saying?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: I wouldn't expect that you're going to see an earnings guidance change at EEI. What you will see, though, is much more granular detail on our capital spending plans that drive the earnings growth.
James von Riesemann - Mizuho Securities USA, Inc.: Great, okay. Thank you.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: You are welcome Jim.
Operator: Your next question comes from the line of Brian Russo with Ladenburg Thalmann. Please go ahead.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Hi, Brian.
Brian J. Russo - Ladenburg Thalmann & Co., Inc. (Broker): Hi, good afternoon.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Good afternoon. How are you today?
Brian J. Russo - Ladenburg Thalmann & Co., Inc. (Broker): Good thanks. A lot of my questions were asked.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: I've gotten you from bad the last time to good. Next time you will be wonderful and award-winning.
Brian J. Russo - Ladenburg Thalmann & Co., Inc. (Broker): Right, right. Just real quickly, what is the upcoming general rate case strategy and timing for the Wisconsin utility subs?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Okay. Well, for Wisconsin Electric if you recall we just completed our rate case last December, so our rates with future looking test years are set for 2015 and 2016. So under the normal course with the Wisconsin Commission really liking its utilities to file for a case every two years, under the normal course we would file for Wisconsin Electric in the spring of 2016 for rates that would go into effect January 1 of 2017. So that is Wisconsin Electric. Same thing applies for Wisconsin Gas. For Wisconsin Public Service, they are actually in the midst of a rate case right now, and we would expect a rate case decision as usual from the Wisconsin Commission by November or December of this year.
Brian J. Russo - Ladenburg Thalmann & Co., Inc. (Broker): Got it. Okay. That's all I had. Thank you.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Okay. Thank you, Brian.
Operator: Your next question comes from the line of Andy Bischof with Morningstar. Please go ahead.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Hello, Andy, how are you?
Andrew Bischof - Morningstar Research: Wonderful and award-winning.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: All right. Rock 'n roll. You haven't seen the lion down there, have you?
Andrew Bischof - Morningstar Research: No, not yet. We are in Chicago so he hasn't come down our way yet.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Okay. Well be careful.
Andrew Bischof - Morningstar Research: Just a real quick maintenance question. In terms of rate case earnings benefits in the latter half of the year, should they be similar to the $24 million in the first half? Or first quarter was a little bit higher than the second quarter?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: In terms of the Wisconsin Electric rate case benefits, guys, no? Okay, Steve, we will ask you to cover that.
Stephen P. Dickson - VP & Controller, WEC Energy Group, Inc.: Yeah. So you are referring during the earnings package we've got for the quarter rate case netted to $9.5 million. And what that represents is going into the rate case last year when the rates were set effective January 1, the Wisconsin Commission assumed a certain level of SSR revenues. And what has happened is that the SSR, we reached an agreement with the State of Michigan and those stopped. But in the Wisconsin rate case we are allowed to have the incremental revenues associated with that. So if you remember last year in the SSRs, the first half of the year the SSRs were based on the suspension. And then later in the year it went to the retirement SSRs. And so the dollar amount was greater in the latter part of the year. So the short answer is you will not see this big a benefit in the last part of the year, but you'll see a little bit of benefit. Does that make sense?
Andrew Bischof - Morningstar Research: Yeah, I think so. I might follow-up off-line, but that's all I had. Thank you.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: All right. Thank you.
Operator: Your next question comes from the line of Paul Ridzon with KeyBanc. Please go ahead.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Greetings, Paul.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Greetings, Gale. How are you?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: We are good. We'd like it a little hotter, a little more humid, but we are good.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: I will work on that.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: All right. Thank you.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: What's the rate base at Peoples Gas?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: I'm sorry, one more time with the question?
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: What is rate base at Peoples Gas?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Rate base at Peoples Gas? I'm looking at Pat. I think it's $1.8 billion.
J. Patrick Keyes - Chief Financial Officer, Director & Executive VP, WEC Energy Group, Inc.: Yes.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Okay. And about a 50-50 cap structure?
J. Patrick Keyes - Chief Financial Officer, Director & Executive VP, WEC Energy Group, Inc.: Yes.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Yes, that is correct.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Then just to make sure I understand it, combined 2016 earnings should be 6% to 8% growth off of standalone $2.72?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: You've got it.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Those were all my questions. Thank you very much.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: You're more than welcome.
J. Patrick Keyes - Chief Financial Officer, Director & Executive VP, WEC Energy Group, Inc.: Thank you.
Operator: Your last question comes from the line of Paul Patterson with Glenrock Associates. Please go ahead.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Last but not least, Paul.
Paul Patterson - Glenrock Associates LLC: How you doing?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Good. How are you?
Paul Patterson - Glenrock Associates LLC: All right. You mentioned that there were going to be some substantial accounting adjustments in the second half of the year. I was just wondering if you could just give us a little bit of a preview what you are expecting to happen there?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Sure. And I will ask Steve Dickson, our controller, and Scott Lauber, our treasurer, if they have anything to add. But essentially as you know, in any acquisition – we're not immune from this – one of the things that has to be done is purchase price adjustments. Generally you get a year to do that. But when you close this early in the year the SEC would like you to button down many of the purchase price adjustments of the time of the filing of the 10-K, which would be early, early next year. So one of the major amount of accounting work that has to be done is all the purchase price adjustment work. Then I'm certain there will be some one-time transition type costs, and there's a whole slew of different types of costs that would be one-time costs that we would incur in the second half of this year. For example, we want to get an improvement in call center responsiveness for a number of the Integrys utilities; there will be some one-time costs to that. Pat tells me that there are software licensing costs that we will incur that would be one-time nonrecurring in the second half of this year. We could go on with a list of 30 or 40 of these things that are all transition costs that would be non-recurring. But that gives you a flavor. Steve, would you like to add anything?
Stephen P. Dickson - VP & Controller, WEC Energy Group, Inc.: Yeah. The only thing I'll add, I think you nailed the transition related costs. And I'll go back to the previous question, is we will report GAAP costs at the end of the year; but then as Pat mentioned, we're going to strip out. We're going to make an accounting adjustment to strip off the Integ (58:22) earnings, we're going to strip off the acquisition debt, we're going to strip off the additional shares associated with that to get back to the WEC standalone.
Paul Patterson - Glenrock Associates LLC: Okay. Just to follow-up on this, though, so it sounds like there's going to be a lot of charges. Do we have any sense as to what the quantity of those one-timers is going to be?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Not yet.
Paul Patterson - Glenrock Associates LLC: Okay.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: We'll certainly have a much better feel for that when we see you at the EEI Conference, but not yet. We are, again, 29 days into this. We know there will probably be a number of charges, and we will be working on it.
Paul Patterson - Glenrock Associates LLC: Okay. Then in terms of purchase accounting, sometimes that has an impact going forward, and some companies strip out those impacts depending on how they are, and sometimes they aren't. Do you guys have any feel as to how the purchase accounting might affect growth going forward? And is there any impact associated with purchase accounting that's in your 2016 and beyond expectations for earnings growth?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Well, first of all, I don't think we know the answer to that completely yet. But there is one element, because we have regulated operations and more than 99% of our earnings are coming from regulated operations, but in general terms when you value regulated assets they come over onto your balance sheet at carrying value, at rate based value, if I'm making any sense to you. So that actually simplifies a great deal the purchase accounting. However, there are other things that we have to take a hard look at, like the value of some of the solar assets that Integrys has retained; like the value of a company called Trillium, which is a compressed natural gas fueling station company. So there are other assets. I think there's a waste-to-energy plant in Texas that they had. There are several of these assets that we're going to have to take a hard look at and give an appropriate value to. But in terms of major impact on 2016 earnings growth and beyond, Steve, I don't see any, do you?
Stephen P. Dickson - VP & Controller, WEC Energy Group, Inc.: No, you nailed it.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Okay.
Paul Patterson - Glenrock Associates LLC: No, I would've thought it until you guys brought it up. And I mean, I think it probably would have been different if Integrys had kept the retail business.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: Oh, gosh, very different, very different. Remember, that was part of the announcement, that that did not fit with our model going forward.
Paul Patterson - Glenrock Associates LLC: Right. So just to make sure I understand, basically your earnings growth doesn't have really any major assumptions associated with purchase accounting one way or the other in it?
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: You are correct. You are absolutely correct.
Paul Patterson - Glenrock Associates LLC: Thanks a lot.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: You're welcome.
Gale E. Klappa - Chairman & Chief Executive Officer, WEC Energy Group, Inc.: All right. Well, ladies and gentlemen, that concludes our conference call for today. Thank you so much for participating. If you have any questions, now we have both Colleen and Beth and they are available in our Investor Relations office, 414-221-2592. Thanks everybody.